Operator: Welcome to the Miller Industries' Third Quarter 2016 Results Conference Call. As a reminder, all participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. At this time, I'd like to turn the conference over to Max Dutcher of FTI Consulting. Please go ahead.
Max Dutcher: Thank you, and good morning, everyone. I would like to welcome you to the Miller Industries conference call. We are here to discuss the Company's 2016 third quarter results, which were released after close of market yesterday. With us from management today are Bill Miller, Chairman of the Board; Jeff Badgley, Co-CEO; Will Miller, President and Co-CEO; Vince Mish, Executive VP and CFO; Frank Madonia, Executive Vice President, Secretary and General Counsel; and Debbie Whitmire, Vice President and Corporate Controller. Today's call will begin with formal remarks from management, followed by a question-and-answer period. Please note that during this morning's conference call, management may make forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I'd like to call your attention to the risks related to these statements, which are more fully described in the Company's Annual Report filed on Form 10-K and other filings with the Securities and Exchange Commission. With these formalities out of the way, I'd like to turn the call over to Jeff. Please go ahead, Jeff.
Jeff Badgley: Thank you, and good morning. We're pleased to discuss our third quarter performance with you today. It was another solid quarter for Miller Industries as we moved into the second half of the 2016 year. We continue to execute on our strategic initiatives and we added to the momentum in our business which is evidenced by our strong financial performance. We reported 2016 third quarter sales of $147.6 million, an increase of 17% compared to $126.2 million in the prior year period. Net income was $5.5 million or $0.49 per share an increase of 74.3% compared to net income of $3.2 million or $0.28 per share in the 2015 third quarter. We maintained our production levels to continue to stay ahead of our customer demand, which has been critical to our success. We also continue to watch our cost reducing SG&A as a percentage of net sales to 5.8% down from 6% in the third quarter of last year. Our ability to drive sales while increasing production capacity has contributed to a successful quarter. Now I'll turn the call over to Vince who will review the third quarter and nine month results. After that I'll be back with comments on the market environment and some closing remarks. Vince?
Vince Mish: Thanks Jeff and good morning, everyone. Net sales for the third quarter of 2016 were $147.6 million versus $126.2 million for the 2015 third quarter, a 17% year-over-year increase. Cost of operations also increased 15.1% to $130.5 million in the 2016 third quarter compared to $113.4 million last year, which is attributable to increased production driven by the healthy demand levels that we've seen. Gross profit was $17.1 million or 11.6% of net sales in the third quarter of 2016 compared to $12.8 million or 10.1% of net sales in the third quarter of 2015. SG&A expenses were $8.5 million in the third quarter of 2016, compared to $7.5 million in the third quarter of 2015. As a percentage of sales, SG&A decreased to 5.8% from 6.0% in the prior year period. Other income expense net for the third quarter was a net gain of $238,000 compared to a net gain of $94,000 in the third quarter of 2015. Interest expense in the 2016 third quarter was $359,000 compared to $291,000 in the third quarter of 2015 due to the borrowings on the credit line as well as by additional floor plan financing associated with our increased volumes. Net income in the 2016 third quarter was $5.5 million or $0.49 per diluted share, an increase of 74.3% compared to the 2015 third quarter net income of $3.2 million or $0.28 per diluted share. Now let me briefly review our results for the nine months ended September 30, 2016. Net sales for the first nine months of 2016 were $452.5 million compared to $404.5 million in the prior year period, an increase of 11.9%. Gross profit for the nine months ended September 30, 2016, was $49.1 million or 10.9% of sales compared to $42.3 million or 10.5% of sales for the first nine months of 2015. Net income in the first nine months of 2016 was $15.5 million or $1.36 per diluted share, which is an increase of 27.9% over net income in the first nine months of 2015 of $12.1 million or $1.07 per diluted share. Turning now to our balance sheet, cash and cash equivalents as of September 30, 2016 were $32.8 million compared to $29.6 million as of June 30, 2016 and $38.5 million at December 31, 2015. Accounts receivable at September 30, 2016 totaled $125.9 million compared to $138.4 million as of June 30, 2016 and $109.2 million at December 31, 2015. Inventories were $64.8 million as of September 30, 2016 compared to $69.3 million as of June 30, 2016 and $66.2 million at December 31, 2015. Accounts payable at September 30, 2016 were $69.2 million compared to $79.3 million as of June 30, 2016 and $72.4 million at December 31, 2015. As of September 30, 2016 we had borrowed $20 million under our $50 million unsecured revolving credit facility, primarily to help fund our plant expansion projects. We did not increase the amount borrowed during the third quarter. The company also announced that its Board of Directors approved a quarterly cash dividend of $0.17 per share payable December 12, 2016 to shareholders of record at the close of business on December 5, 2016. Now I'll turn the call back to Jeff for further remarks.
Jeff Badgley: Thank you, Vince. As I said we had a strong third quarter, which built upon the success that we had achieved in the first six months of the year. Our pipeline of business and bidding activity remained solid, both domestically and internationally. This is backed up by strong demand levels in our domestic markets upon which we are capitalizing. The consolidation and expansion of our Pennsylvania operations is nearing completion and in the capital projects -- in the capital projects that are [watching] Greenville Tennessee facilities are moving forward. Overall we're very pleased with our performance this quarter. We continue to enhance shareholder value by maintaining a healthy balance sheet and productively utilizing our assets. Our business position remains steady as we look forward to a solid close to 2016 and we are very positive about our prospects for next year. I would like once again thank our employees, our shareholders, our suppliers and certainly our customers for their ongoing support of Miller Industries. Lastly with Vince's announced retirement; Will, Bill and I would like to thank Vince Mish for his years of service at Miller Industries and congratulate Debbie Whitmire on her new position with the company. With that, we're ready to take your questions.
Operator: Thank you. [Operator Instructions]
Max Dutcher: With the fact that there are no questions, we would like to thank you for joining our call and look forward to reporting our fourth quarter performance in the beginning of 2017. Thank you.
Operator: Thank you. And this does conclude today's event. Thank you for attending today's presentation. You may now disconnect.